Operator: Greetings, and welcome to Outbrain, Inc., First Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. [Operator instructions] As a reminder, the conference is being recorded. I would now like to turn the conference over to your host, Jason Kiviat. Thank you, and over to you.
Jason Kiviat : Good morning, and thank you for joining us on today's conference call to discuss Outbrain's first quarter 2022 results. Joining me on the call today, we have Outbrain's Co-Founder and Co-CEO, Yaron Galai; Co-CEO, David Kostman and CFO, Elise Garofalo. During this conference call, management will make forward-looking statements based on current expectations and assumptions. These statements are subject to risks and uncertainties that may cause actual results to differ materially from our forward-looking statements. These risk factors are discussed in detail in our Form 10-K filed for the year ended December 31, 2021, and the subsequent reports filed with the Securities and Exchange Commission. Forward-looking statements speak only as of the call's original date and we do not undertake any duty to update any such statements.  Today's presentation also includes references to non-GAAP financial measures. You should refer to the information contained in the Company's first quarter earnings release for definitional information and reconciliations of non-GAAP measures to the comparable GAAP financial measures. Our earnings release can be found on our IR website, Investors.outbrain.com under News and Events.  With that, let me turn the call over to David.
David Kostman : Thanks, Jason, and thank you all for joining us. In Q1, we delivered against the guidance we provided. At the same time, we are seeing, like many companies in our industry, softness in demand, especially in Europe, which accounts for around 40% of our business, and to a lesser extent, in the U.S. where some of our advertisers are impacted by supply chain and macro issues. As a result, we are lowering our guidance for the year. We continued to be very bullish on our positioning and the market opportunity. We are continuing to expand our media supply network and gained market share and are thrilled to announce the development of a new initiative to greatly increase strategic value to media owners, while generating an entirely new fast-like revenue stream for Outbrain. It's called Keystone. And Yaron will be elaborating on this shortly. Let's turn to Q1 results. Lapping a very strong Q1 last year, our Ex-TAC gross profit was up 5% or 8% on a constant currency basis to $63.5 million, in line with our guidance, and our adjusted EBITDA of $11.6 million exceeded the guidance we provided. On the media owner side, Q1 was an exceptionally exciting quarter for us.  At the end of March, one of Europe's largest publishers, Axel Springer, announced the results of the RFP for the recommendations partner across the flagship properties BILT and WELT, as well as several other properties reaching hundreds of millions of unique users. They chose to return to Outbrain after several years of trying a competitive solution, signing a multi-year, multi-hundred million dollar deal with us. Continuing along this trend, Sankei Digital, one of Japan's largest digital publishers, chose Outbrain to exclusively power recommendations on Sankei's major news site and sports site.  We had been working with Sankei on several of their properties for several years and we were honored to take on the major show of the business, again, replacing a competitive solution. On top of this announcement, we renewed and expanded several of our top-20 partners in the last two quarters and added several hundred new media properties. This momentum of supply wins comes from our relentless focus on delivering results for our media partners and partnerships that they can count on. At the end of March, we also started benefiting from the shift in the Microsoft Open Exchange marketplace. With Microsoft moving other partners that up to this point had exclusive and preferential access to some inventory to become real-time bidders. We believe this shift will continue to benefit us relative to other players in view of our multi-year experience in Microsoft's Open Exchange environment and the strategic nature of our partnership with Microsoft. On the product front, we continued to deploy SmartLogic on mobile and now also rolling it out to desktop and continued the wins of our header-bidding integrations for in-article placements across tens of partners, adding even more supply to the expansion of existing partnerships.  While these exciting wins tell the story of great momentum, this growth in new supply comes combined with slower demand and some blocking of all ads on certain war-related pages in Europe.  Let me move to the demand side. Due to a volatile macro environment, supply chain challenges and the war in Ukraine, we are experiencing headwinds, especially in Europe. We saw demand softness across the board, but particularly from brand advertisers in Europe, resulting in lower RPMs.  We anticipate these external factors to continue to have a negative impact on advertiser budgets and the shifting our focus away from segments such as automotive and CPG to segments less impacted or that are recovering such as health, financial, and entertainment, leveraging the nature of our diversified advertiser base.  I want to take a moment to focus on a key aspect of our business. Outbrain is a two-sided marketplace. And like all two-sided marketplaces, for example, Uber, Google, Airbnb, it's paramount to constantly balance supply and demand.  In our business, the supply usually adds up in step changes when we add big new partners and then over time, the advertisers add incremental budgets. It's a dynamic we know very well from a decade plus of running our marketplace and it has behaved this way in the past, sometimes faster, sometimes lower. Our growth on the supply side is solid. The demand side, however, especially in the EU, where we grew a lot of supply, is being impacted by the macro environment causing the demand to not grow in regular sync with the size of our growing supply.  This dynamic is impacting our yield in the short term as the demand is being stretched over this expanded supply, but is expected to turn into a strong growth driver when more demand will be unlocked. For example, recently, we observed similar dynamics that contributed to growth in the second half of 2020 post-COVID. Turning to the acquisition of video intelligence, we closed the acquisition of vi in January and in Q1, we were mainly focused on integration and started introducing the contextual video solution to Outbrain's publishers. Since the acquisition closed, we brought the vi solution to more than 15 Outbrain publishers. I am extremely proud of the team's work in face of the tough challenges since some of the vi entrepreneuring team is based in Kyiv.  I am happy to update that our whole team is safe and engaged, mostly working from remote locations and very appreciative of the outpouring of support from their colleagues. We wish for our colleagues an imminent conclusion to the fighting. I would like to refer to the revised guidance Elise will be providing. We are taking a cautious approach in view of the uncertainty in the market and the negative short-term trends we are experiencing, which are impacting runrate, driving our models.  Therefore, we are reducing our extra guidance by around 15%. These are volatile times, but we view them as temporary phenomena and have successfully navigated through such turmoil before. We are investing in our key growth drivers and winning market share. We believe that our algorithmic improvements, the growth of supply won in Q1 and the rollout of SmartLogic will be key drivers of future growth. We believe in the long-term growth of the category, in general, especially in a more privacy conscious and regulated environment that favors native and contextual advertising solutions such as ours.  We remain committed to profitable growth. We've made significant investments in people. For example, we grew our product and engineering team by more than 25% year-over-year. We've taken some efficiency measures once we identified the weakness towards the end of Q1 and we'll continue to monitor the progress of the year to decide on how to best balance high-confidence investments with profitability.  As you will see in Yaron's comments, we are also strategically broadening our solutions for media owners and are very excited about the new platform and business model we've been investing in. We believe this investment, combined with smart management of our strong balance sheet will serve our shareholders well. Yaron?
Yaron Galai : Thank you, David. In the Founder's letter for our IPO, we shared our approach towards innovation. To quote, "We are risk takers when it comes to innovation. We like to manage our business conservatively and humbly to ensure that Outbrain's business is sustainable for many years to come. But when it comes to product and technology, we are happy to be the risk-taking innovators. Simply put, we believe that in a dynamic industry such as ours, it's impossible to sustain a leadership position without being bold when it comes to innovation."  We now clearly see a path for fundamental innovation on some of the core aspects of our industry. During the past 20 or so years, the primary business model for online publishing has been advertising. As such, Outbrain's core products have been intensely focused on ad monetization and to-date, 100% of our revenue has come from advertising. Over the past couple of years, we've seen a growing trend amongst media owners of revenue diversification with a growing focus on subscription or reader revenue, e-commerce, events, newsletters and more. We believe that this trend of diversification from pure ad revenue will accelerate in coming years.  This investment that media owners are making to diversify revenue streams offers us incredible opportunities to help them realize this future through technology and for us to deepen our partnership by becoming their total business optimization platform. So today, we are excited to unveil our vision for this future by adding a new pillar to our business called Keystone. Keystone is a platform for maximizing media owners' overall business outcomes while optimizing the user journey and experience. Keystone introduces a new business model for Outbrain and will be delivered as a Software-as-a-Service solution.  For a media owner trying to diversify revenue, one of the biggest challenges is to balance competing business KPIs, as well as the users' experience with editorial content. Today, this incredibly complicated equation is managed mostly manually with little to no personalization or optimization. As multiple teams, the ads team, subscriptions team, editorial, e-commerce, events, et cetera, are all competing for that same scarce user attention, there is no business engine supporting them with the personalization and optimization of the user journey.  We believe publishers and media owners will be excited by Keystone for two main reasons. First, we expect it will enable media owners to expand their revenue opportunities and diversification across KPIs by utilizing best-in-class technology.  Second, it better aligns the media owner with their users. We envision Keystone as being the platform for aligning all of the media owners' business aspiration with those of each user. We expect that those using Keystone will see a very noticeable flight to quality and a better user experience.  Keystone leverages a decade-plus of experience we have in building some of the world's best technology for understanding the interest of each user and for optimizing for business outcomes. This leverages the tremendous amount of first-party data that we have to power the business logic. We've been working on the Keystone platform for about a year now and announcing today as part of our planned launch. The Keystone technology is live with a major U.S. news publisher, which is not a current Outbrain feed partner, showing the potential for Keystone to expand our scope and TAM via new partnerships.  With the launch partner, we are on pace to generate in the ballpark of a couple of million dollars of revenue this year. We expect to go live with a couple more launch partners in coming months ahead of a more formal product launch planned for Q3.  We are excited for Keystone for a few reasons. First, Keystone is expected to expand our TAM beyond advertising on the open web to be able to capture a portion of the fast-growing e-commerce and subscription markets.  Second, it is expected to deepen our media owner partnerships, powering the entirety of a publisher's business outcomes that is akin to the relationship that Salesforce has with sales team or that Adobe and Oracle has with marketing teams. It's a much deeper partnership.  Third, it is expected to provide us with a SaaS revenue stream. We love the ad business that has enabled us to put more than $4 billion in partners' pockets. But we are also excited to complement that with the growing SaaS business that will offer us over time a higher margin and better revenue predictability. Outbrain has pioneered the space of publisher recommendation engines about 15 years ago and led it to become a multibillion dollar space. Today, we are pioneering the future generation that will define the space in the next decade.  With that, I'll hand it over to Elise.
Elise Garofalo : Thanks, Yaron. Despite the macro challenges David discussed that impacted the latter half of Q1, we met our Ex-TAC gross profit guidance and exceeded our adjusted EBITDA guidance for the quarter. In Q1, revenue grew 11% or $26 million year-over-year to $254 million. On a constant currency basis, revenue increased 14%. Our growth in the period was driven primarily by the addition of new supply partners as compared to Q1 2021. Consistent with the last several quarters, this has been a steady source of revenue growth. Also contributing to new is the revenue from vi, which is being treated as a 100% new business for this reporting purpose as compared to 2021.  Now for Ex-TAC gross profit in Q1, which is the revenue we keep after paying traffic acquisition cost to our media partners, we’ve reported an increase of $3 million or 5% year-over-year to $63.5 million. On a constant currency basis, Ex-TAC gross profit increased $5 million or 8% year-over-year. Ex-TAC gross profit grew somewhat lower than gross revenue, primarily due to revenue mix and lower performance on certain deals in the period.  Moving to operating expenses. We saw an increase of $15 million to $54 million in the first quarter. Approximately, $8 million of the increase was from higher personnel-related costs reflecting continued investment in our global teams, where we added over 200 heads net since July of last year, including 60 from our vi acquisition in January.  And consistent with half two 2021, this quarter, we have higher costs associated with being public and are seeing higher marketing, T&E and facility expenses as activity impacted by COVID comes back to more normal operations. Even with these increases, operating expenses were lower than typical due to some offsets.  First, we had $1 million of lower bad debt expense that is largely non-recurring in the period and in addition, we had lower compensation and lower marketing expenses versus planned. As a result, adjusted EBITDA, our primary measure of profitability, totaled $11.6 million in Q1.  On a constant currency basis, adjusted EBITDA was $13.2 million or $1.6 million higher than reported. Even with taking into consideration the impact of certain lower operating expenses I just noted, we still exceeded our EBITDA guidance in Q1. Moving to liquidity. Free cash flow, which we define as cash provided from operating activities less CapEx and cap software, was a net use of cash in the period of approximately $9 million. The use of cash was due to lower profitability in Q1, as well as higher capital expenditures. We ended the first quarter with $411 million of cash and cash equivalents on the balance sheet and $236 million of long-term convertible debt. We had announced last quarter that on February 28, our Board authorized a $30 million share repurchase program. We did not repurchase any shares in Q1 due to a limited buying window, but we plan to start executing buybacks as soon as it' possible.  Now turning to our outlook. As you have heard from us today and more broadly in the market, it's been a fairly unpredictable start to the year. Since we last spoke, we've seen increasing softness in demand across our network that triggered on the heels of the war in Ukraine. This comes together with increasing supply chain constraints and broader macroeconomic concerns, all becoming increasingly uncertain.  For clarity, we do not have any direct exposure of note in Russia or Ukraine. However, what we have seen in response to the situation is, first, requirements from many advertisers to not have their ads appear on war news pages; and second, more broadly across our advertiser base, we are seeing budget deferrals and reductions in plans, particularly with brands and particularly in Europe. These ongoing conditions produce uncertainty for the balance of the year. Despite these headwinds, we do believe that the long-term fundamentals of our growth drivers remain sound and thus, we will continue to invest in our product and technology plans both short-term and long-term such as Keystone to continue to position us for growth.  So with that context, we've provided the following guidance: For the second quarter, we expect Ex-TAC gross profit of $59 million to $62 million; on a constant currency basis, Ex-TAC gross profit would be $61 million to $64 million; for adjusted EBITDA, we expect $4 million to $6 million. This outlook reflects our supply growth being offset by declines in yields given the factors we discussed today. For the full year 2022, our updated guidance is Ex-TAC gross profit of $270 million to $290 million and adjusted EBITDA of $50 million to $60 million. Our adjusted EBITDA guidance implies $225 million of cash costs, which is significantly less than we originally budgeted based on savings plans we initiated at the end of Q1.  As David shared, we will continue to monitor market conditions to manage and best balance profitability and growth. Last, our guidance assumes that macro conditions do not deteriorate significantly from where they are today. Now I'll turn the call back over to the operator for Q&A.
Operator: Thank you. [Operator instructions] The first question comes from the line of Andrew Boone with JMP Securities. Please go ahead.
Andrew Boone : Hi, guys. Thanks for taking my question. Just going to the guide, I want to understand just and make sure that we understand the dynamics of additional supply coming on and how we think about that impacting the overall guide. Clearly, we saw take rates kind of come down in 1Q. And I guess the question focuses on how do we see that start to bounce back to the levels that we saw last year? And how do we think about just the pacing of the recovery there?
Elise Garofalo : Okay. Hi, Andrew, it's Elise. Thanks for the question. So, first, I think it's important to understand some of the key assumptions in our guidance. We do have a wider range for the fiscal year to reflect the uncertainty of the environment. And then, the baseline assumptions, as I said in my closing remarks there, that macro conditions don't deteriorate significantly from where we are.  And then from there, we have a forecast build, which is typical for us, that builds on to seasonal trends on monetization and spend patterns, continued execution on the planned growth lever. So many of the things David referred today, supply expansion, some new partner wins, continued expansion on our vi acquisition and of course, the tech-driven improvement.  There is some margin pressure that you are seeing in the Q1 numbers and I think as you think about the year, it's important to remember that we do, in any given quarter, we can be plus or minus a point on margin, for sure. But what we are seeing is the convergence of the slower demand, which puts pressure on the monetization of the platform, together with what remains a competitive environment, right?  It has been and it continues to be. But I think the convergence of those two is causing us to see more pressure because we've been successful in driving supply into the platform, which is great, but it's into some of this weakness.  But I think the important thing to remember is, as we grow supply, we have a very strong history of land and expand across recent years. And we believe, as some of this demand release comes to fruition, we'll be able to deliver more trajectory on the recovery and that's – we've seen the numbers and the actuals do that before and we're certain under the hood that we are driving lift and click-through rates and general performance. It's just currently being diluted by the demand.
Andrew Boone : And then, secondly, just on Keystone, as we think about that rolling through the model, help us understood, understood it's a small contribution as we kind of relate to this year. But what other investments are necessary to get that going? It feels like a different go-to-market motion. Is there anything else to call out there? Thanks so much. 
Yaron Galai : Hi, Drew, this is Yaron. So Keystone is in its early days of its effort. Again, we've been working on this for about a year. There is a small dedicated business unit focused on Keystone for that year. But we are also leveraging a bunch of our capabilities, on what we call the core business on both the publisher side of our product and technology and the advertisers’ side of it.  So we are not breaking out numbers at this point. Again, this is an early effort, especially in the on the market side of it. We did share that we had one major U.S. launch partner just adopted this, but again, early days. And so I think we'll share more as the quarter still goes.
Elise Garofalo : And then, I would just add just more broadly on just general main investment areas for us and remember, we've grown our team, particularly in the R&D organization, roughly 30% over the last six to nine months. And so, where we see the investment in the core and the existing beyond this Keystone opportunity is in the core growth drivers of technology, right?  The optimizations, the products and the algorithms and the infrastructure to really support the increased header bidding and bidder technology, the advancements that we've been making. And then of course, these investments are also supporting video and the vi acquisition and how we scale that over our platform over the coming quarters.
Andrew Boone : Thank you.
Operator: Thank you. The next question comes from the line of Shweta Khajuria with Evercore ISI. Please go ahead.
Shweta Khajuria : Okay. Thank you. Let me try two, please. For the guidance, Elise, what is the embedded assumption? You talked to the – qualitatively, but how should we frame the impact of FX headwinds versus lower demand and the magnitude of it in full year guide? And then the second question, Yaron, on Keystone, how are you pricing the product? What's the subscription price and then who else are you competing with on this product?
Elise Garofalo : Okay. Thanks, Shweta. I'll take the first one on FX. So our forecast for Q2 and the balance of the year assumes current rates, which are essentially April rates for us. And you might recall for most currencies, we have long positions. So we sell in multiple currencies and we do have some offset in operating expenses.  What we are seeing now is a headwind on the Ex-TAC gross profit of roughly 3% to 4%, which is fairly consistent with Q1, which isn't necessarily intuitive, because the dollar has continued to strengthen. But a lot of that is based on mix on our platform and the fact that much of our revenue remains dollar-based. So, Ex-TAC thinking at current forecast, roughly 3% to 4%. If you'll extrapolate to the year, you're talking about a $10 plus million headwind on Ex-TAC on the year-over-year guidance.  Now on EBITDA in the quarter, it was a headwind in Q1. However, based on April rates and the way that the shekel has now weakened to the dollar, we expect a more neutral impact on EBITDA for Q2.
Yaron Galai : Hi Shweta, this is Yaron. So about the Keystone question, so first of all, in terms of the business model, Keystone is the usage-based SaaS platform where publishers are paying us for the technology. In terms of the competitive set, I'd say what it competes with most is the manual labor, manual decisions that publishers and media owners make as it relates to the variety, the diversification of business objectives. So, those are usually siloed teams, each one trying to achieve its subscription goals, its ad goals, its e-commerce goals and each one is making their own decisions. And then, usually, there's kind of a manual layer, the Chief Product Officer, Chief Digital Officer, that is making those kind of – I am saying, "optimizations."  So that manual decision layer that's happening today, I think, is the biggest sort of competitive set for Keystone. I'd say, in terms of other companies, we're not seeing anyone that's actually solving this for publishers and media owners, but there are in each one of those domains and each one of those silos, there are companies that are trying to optimize just that silo and they're trying to optimize.  So in some way, it's part of the competitive set. But really, it's part of the problem. And that's the problem that Keystone comes to solve. How do we take all those – the revenue diversification as the overall theme taking all those business objectives the publisher or media owner has and optimizing and personalizing for the user journey based on that.
Shweta Khajuria : Okay. Thank you, Yaron. Thanks, Elise.
Operator: Thank you. The next question comes from the line of Laura Martin with Needham. Please go ahead.
Laura Martin : Hi there. So I have three. Let's do them one at a time. In the U.S., when you look at your business, Trade Desk has been talking about OpenPath, which is a direct onboarding into publishers into their demand, their DSP of demand. Have you seen weakness from that in your U.S. business competing with you?
Yaron Galai : Hi, Laura. This is Yaron. I don't believe we have – supply path optimization is generally something that's less relevant to our space since in the vast majority of our business, there is no supply path optimization. We are the only platform between the advertiser and the publisher and it’s the most direct connectivity that you can have. And so we've not had that. Obviously, we got some of the demand through The Trade Desk. A small portion of our business is programmatic. But it's all within our platform and what we optimize for it. So those direct connections are outside of the operating world.
Laura Martin : Okay. Right. Let's do a CTV product update. You guys closed the vi acquisition in January. We thought that this company, new company added $30 million of CTV and in-stream revenue. Can you give us an update on what's happening on the CTV side specifically, in terms of growth and investment?
Elise Garofalo : I am sorry. David is having trouble with his microphone. I don't know, Yaron, if you could try to take that question while we try to resolve his audio issues.
Yaron Galai : Sure. So, yes, hopefully, we'll get the David perspective when he joins, but in terms of CTV, so the video intelligence or vi acquisition that we made does have a small portion of CTV. The founding team there, so the team from vi, that world of TV and connected TVs and so they know it quite well. But it is a small portion. It's - I'd call it, a feed for the future, it’s not a meaningful part of the vi business, which is mostly contextual, open web video monetization and some video on the open web.
Laura Martin : Okay.
David Kostman : Sorry, guys. Can you hear me now?
Laura Martin : Yes.
David Kostman : Okay. Finally, sorry. Sorry about that.
Laura Martin: Did you want to add anything on an update on the vi asset?
David Kostman : I didn't hear exactly what Yaron said. I had some problem in communication. Hey, Laura, but integration is progressing as planned. We had about 15 partners from the Outbrain publisher universe and are getting very good feedback in terms of it helps us both expand the business we have with our current partners, and new partners and its incremental in-stream video so it's positive.
Laura Martin : Okay. And then Elise, I have one for you. My last one is for you. So we did take revenue guidance for the year down 15%, but we took EBITDA down by 50%. So, our margins – our estimated margins for the year went from 30% EBITDA margins to 20%, which is well below really the rest of ad tech. So could you talk about what's happening with margins and the different guidance like why they're not coming down in lockstep, costs versus revenue?
Elise Garofalo : Sure. Maybe I will share some thoughts on that, and then I can hand it to Yaron for a broader perspective. So, as you said, the EBITDA guidance that we gave, it implies about $225 million of cash cost, which is significantly less than we had originally budgeted based on savings plans we've initiated at the end of Q1. So as we saw March progressing, we started to take meaningful steps against our plans. Now these are internal plans, which are, I would say, these reductions aren't as material obvious on the guided numbers. But they are underway in the background and much more visible if you compare implied cash cost to, say, Q4, given that I shared a few reasons why Q1 costs were unusually low. As David did share, we'll continue to monitor the market conditions to manage and best balance profitability and growth. Just as a proxy, when I refer to Q4, because I'm sure you don't have all the details handy. If we annualize the Q4 cash costs and you look at the implied $225 million, it's about a 6% increase year-over-year. And just a few reminders on step changes in public costs, the significant hiring that we did do at the end of the second half of 2021 into early this year, including vi, as well as just general infrastructure investments. So, this annual guide puts us at around 20% of Ex-TAC at a midpoint. It's a fair point, what you are saying it is below where we were and where we would say we would like to be, but we are responding to the numbers currently and we'll continue to monitor the progression.
David Kostman : I will add, Laura. So I will add. I mean, we are looking at continuing to invest in the growth drivers. We are obviously looking at the cost at the same time, but we believe we are making the right sort of balance of decisions at this point. We are excited about these growth drivers and I think once demand starts coming back stronger in those areas where right now, it's weaker, like Europe, I think we'll see the fruits of those investments.  We will - we are monitoring it daily and we will make decisions as we progress in sort of in the year and see the market dynamics. But again, we believe that this is the right decision. We want to, I mean, we will continue to be profitable. The 20% EBITDA margin is lower than where we were. And hopefully, once the sort of top-line sort of grows back to sort of our long-term model, I mean it will be reflected.
Laura Martin : Thanks very much. Thank you. 
Operator: Thank you. [Operator instructions] The next question comes from the line of Ross Sandler with Barclays. Please go ahead.
Ross Sandler: Hey, Dicky. Got one for you. Assuming we weren't in a digital advertising downturn or whatever we are in here and we just isolated the supply wins that you guys talked about in the prepared remarks, how much revenue or GP Ex-TAC do you think that would have added to the system this year?  I guess, we're trying to understand if we kind of roll through whatever we're in, in terms of a downturn and we look at 2023 and beyond, how much incremental revenue do you see from all this new supply coming on with the Axel Springer, etc.?  And then Yaron, the second one, on Keystone. So, can you just explain a little bit more about what the product does? It sounds like it's kind of smart feed plus some other tools for ranking and managing ad mediation just without the associated ads that you would bring to the table. So is that right or is there anything else just you can explain about the kind of the product market fit? Thanks.
David Kostman : Hey, Ross. Thanks for the question. So, in terms of the new partnerships and generally, the growth in supplies, obviously, the returns are very dependent on the RPMs. I believe the deals we mentioned and the new supply wins are really sort of where you see the gap between our current guidance and the - sort of reduced guide – the previous guidance. So, some of the deals would contribute. I mean, - and they are contributing, but they would have been contributing, I would say in the tens of millions of dollars more depending on recovery of the RPMs.
Yaron Galai : Hi, Ross, this is Yaron here. So, about the Keystone question, so, Keystone goes far beyond the feed. The feed Outbrain has mastered over the past 10-plus years, this goes far beyond to basically any pixel that a publisher publishes that where you can – where you have a user experience or the user is expecting to get, to see something, whether it's an organic recommendation or editorial link or e-commerce or a subscription or whatever it might be, together with that intersection of business objectives that the publisher has. Now the way outside of the Outbrain type feeds, the way that publishers generally manage their assets is by carving out spaces for different teams. So, if they're trying to get their – the e-commerce team today is trying to get their offers in front of users outside the feed, they are basically carving out a space -- they're usually – every user of that publisher is going to see.  There is no optimization and no personalization usually in those places, it's carving out of areas. And so what we're bringing with Keystone is all the knowledge that we have inside the feed together with the experience we have on the advertiser side of understanding business objectives, understanding rollouts and taking those technologies and now making them available as a kind of complete business platform for the media owners, so that they can take basically every asset that they have inside feed and outside feed and optimize it for the diverse variety of business objectives that they have.
Operator: Thank you. [Operator instructions] Ladies and gentlemen, we have reached the end of question-and-answer session. And I would like to turn the call back to the management for closing remarks. Thank you.
Yaron Galai : So, thanks, operator and thank you all for joining us today for our Q1 earnings. Despite the macro environment, we have met or exceeded our guidance for Q1. We know we have a lot of work ahead of us to keep this drive in a very dynamic world and we are excited to be planting the seeds with Keystone of what we envision to be one of the most important innovations and evolution of the space we've pioneered some ten years ago. Thank you.
Operator: Thank you. This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.